Operator: Good day, and welcome to the Federal Realty Investment Trust First Quarter of 2024 Earnings Call [Operator Instructions] Please note, this conference is being recorded.
 I would now like to turn the conference over to Leah Brady. Please go ahead, ma'am. 
Leah Andress Brady: Good afternoon. Thank you for joining us today for Federal Realty's First Quarter 2024 Earnings Conference Call. Joining me on the call are Don Wood, Federal's Chief Executive Officer; Jeff Berkes, President and Chief Operating Officer; Dan G., Executive Vice President, Chief Financial Officer and Treasurer; Jan Sweetnam, Executive Vice President, Chief Investment Officer; and Wendy Seher, Executive Vice President, Eastern Region President. As well as other members of our executive team that are available to take your questions at the conclusion of our prepared remarks.
 A reminder that certain matters discussed on this call may be deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include any annualized or projected information as well as statements referring to expected or anticipated events or results, including guidance. Although Federal Realty believes that expectations reflected in such forward-looking statements are based on reasonable assumptions, Federal Realty's future operations, and its actual performance may differ materially from the information in our forward-looking statements, and we can give no assurance that these expectations can be attained.
 The earnings release and supplemental reporting package that we issued tonight, our annual report filed on Form 10-K and other financial disclosure documents provide a more in-depth discussion of risk factors that may affect our financial condition and the results of operations.
 Given the number of participants on the call, we kindly ask that you limit yourself to one question during the Q&A portion of our call. If you have additional questions, please requeue.
 And with that, I will turn the call over to Don Wood to begin our discussion of our first quarter results. Don? 
Donald Wood: Thanks, Leah, and good afternoon, everyone. Well, it's a new year and Federal continues to charge forward. With a very solid $1.64 recorded in the quarter, along with 3.8% same-center growth when excluding term fees and [indiscernible] repayments and an all-time first quarter record 567,000 square feet of retail leads to 9% higher rents. The answer to the often asked question of do demographics matter post pandemic become quite evident, that sure do.
 The level of leasing activity in the quarter is particularly notable. Our record retail leasing was impressive, but maybe more so was the 190,000 square feet of office space leased at our mixed-use properties. Supplementing the long-awaited 141,000 square foot lease to accounting consulting firm PwC at One Santana West, bringing that building to nearly half leased was an additional nearly 50,000 square feet leased elsewhere in the mixed-use portfolio, including two deals at 915 Meeting Street at Pike & Rose, bringing that building to nearly 80% leased.
 The remaining vacancy at 915 Meeting Street at Pike & Rose and 1 Santana West represents considerably less than 2% of the value of the company. Tenant interest in the remaining space at both buildings remain solid.
 All in all, for the quarter, we signed 117 commercial leases, retail plus mixed-use office for over 775,000 square feet of space with strong economics, not including our residential portfolio, which itself generated record first quarter property operating income of over $17 million. 
 Make no mistake, our product, primarily retail, but also including complementary office and residential is very desirable in the marketplace and a huge positive differentiator.
 Now obviously, higher interest rates take away some of that operating positivity when you get down to the FFO line, but we still grew at over 3% in the quarter and at $1.64 at the higher end of our guidance range. We did 104 comparable retail deals in the quarter that cumulatively were written at 9% higher cash basis rent than the final year of the previous tenant or 20% on a straight-line basis.
 And just to pound the point home one more time, those cash-based rollover increases come on top of leases that have had what we believe to be the highest contractual rent bumps throughout their term in the sector making that roll over all the more impressive. Contractual rent bumps for the deals done in the first quarter were roughly 2.3% blended, anchor and small shop. The weighted average contractual rent bumps for the entire retail portfolio, not just 1 or 2 or 3 quarters worth, approximates 2.25% and higher when considering the office leases, best in the business as far as we can tell. The sustained leasing volume and related economics bode well for the future, especially the contractual rent bumps.
 Now I spoke last quarter about the upside in our occupancy, especially with respect to shop space and felt that another 100 basis points over the 90.7% that we reported at last year -- at year-end was doable. In the first quarter of 2024, we picked up 70 of those 100 basis points bringing our small shop lease percentage to 91.4%. There's more to come here. Our anchored lease percentage is 95.8%  is another 200 basis points to come there too. Those two components combined at 94.3% leased overall. Pretty strong, but as we're demonstrating, room to grow. 
 We take a very proactive approach to leasing and often lease space well in advance of an existing lease expiration or vacancy. All in the name of improved tenant health and merchandising mix and as an insurance policy towards potential gaps and future cash flow. We've got some impactful anchor renewals coming up later this year and early next that should continue the positive trajectory.
 In terms of a tenant watchlist or other indications of a shift in demand, there is nothing out of the ordinary that we can point to. We have little exposure to those tenants that are most talked about these days, Express, Big Lots, JOANNs, Family Dollar and 99 Cents Only, as they tend to cater to a lower income demographic, our tenants have been largely been able to pass on cost of goods and labor increases to their customers. Those customers may grumble at the higher prices, but thus far, they've been both able, and more importantly, willing to pay them.
 In addition, our retail tenant base is very well diversified by both in terms of tenant concentration as well as property type. And while we'll always have one-off tenant failures that's just part of the business, portfolio-wide collectability issues haven't been and are not expected to be outside our historical experience or specific 2024 guidance. Business looks good.
 The last topic I want to address before turning it over to Dan, relates to external growth. While we've turned down the dial a bit on immediate development projects, the residential development of Bala Cynwyd with shopping center notwithstanding, we turned up the dial and level of intensity on sourcing acquisitions. It's an interesting and unique time in the acquisition marketplace right now. While there is a limited supply of Federal Realty type opportunities out there, there's also less viable competition for those centers than there has been historically. 
 We look for shopping centers that are generally larger in size than the average center, with opportunities for remerchandising, redevelopment, higher rents, and yup, potential site intensification. We look for shopping centers in markets that have strengthened significantly over the past 15 years and especially post pandemic.
 Markets like Phoenix, Central and South Florida and Northern Virginia, among others. We look for shopping centers that are immediately accretive to earnings based on the -- based on our cost of capital advantage, but even more importantly, produce returns meaningfully above our long-term cost of capital.
 We look for shopping centers that will be immediately financed through the combination of other asset sales and our largely undrawn $1.25 billion credit facility and then refinance for the long term subsequent.
 We've begun our due diligence process on one such large asset currently and have a growing pipeline of others. Obviously, it remains to be seen if and how much success we'll have in this buy versus build cycle, but using both our operating strength and reputation as well as our balance sheet strength and flexibility is a specific focus of ours for the balance of this year and next.
 That's all I wanted to cover in prepared remarks this afternoon. So I'll turn it over to Dan to provide more granularity before opening up to your questions. 
Daniel Guglielmone: Thank you, Don, and hello, everyone. Our reported FFO per share of $1.64 for the first quarter was up 3.1% versus a year ago and came in at the upper end of our quarterly guidance range of $1.60 to $1.65 which we provided on our earnings call back in February. Property operating income was up 5.6%, also above our expectations, highlighting the overall strength of our real estate. 
 Primary drivers for the strong start to 2024, POI growth in our comparable portfolio, up almost 4% excluding prior period rents and term fees driven by resiliency in our occupancy levels, continued strength in our residential portfolio and stronger contributions from specialties and temp leases.
 This was primarily offset by lighter term fees than forecast and some timing noise with respect to collection. We have an expectation of reversing that over the balance of the year. Comparable POI growth, excluding the impact of prior period rent and term fees was 3.8%. Comparable minimum rents grew 3.6%, and comparable total property revenues were up 4.1%. 
 Portfolio occupancy levels show greater resiliency than we forecast as our lease rate increased up to 94.3%, and our occupancy rate staying at the 92% up, both metrics better than expected as retail leasing volumes hit record levels with our leasing and tenant coordination teams getting tenants open sooner and keeping tenants in place longer, testament to our ability to grind out revenue growth at the property level while curating best-in-class tenant liners.
 Given the tremendous start to the year from a leasing perspective, coupled with a strong pipeline of lease deals in process, which are some of the highest levels we've seen post-COVID, we are extremely well positioned to drive our occupancy metrics over the coming quarters. It's too soon to increase our targeted year-end occupancy levels, but we are in a good spot at this point in the year.
 Another part of our business worthy of note is our residential portfolio. It continues to be a source of strength. Same-store residential POI growth was 6% in the first quarter on the heels of a similarly strong fourth quarter. This was driven by 5-plus percent revenue growth against 3% expense growth, leading to results well ahead of forecast.
 While we are dialing down new development starts are still substantial in process development pipeline continues to make meaningful contributions as lease-up continues at these projects. Darien residential continues to exceed expectations and is 99% leased. Darien retail is over 90% leased with several store openings set over the coming quarters. 
 Huntington Shopping Center is 94% leased with Whole Foods and other set to open by third quarter. As Don mentioned, 915 Pike & Rose Street and One Santana West continued solid progress at almost 80% and 50% leased, respectively. Note that global Foodservice giant Sodexo moved into its new North American headquarters of Pike & Rose during the quarter. 
 Now on to the balance sheet and an update on our liquidity position. All of our refinancing requirements for 2024 were handled at the very start of the quarter with our $485 million, 3.25% exchangeable notes offering. This leaves us with no material maturities until 2026. We stand with over $1.33 billion of available liquidity from our $1.25 billion credit facility and cash on hand, and have redevelopment and expansions spend remaining of only $100 million for the balance of 2021.
 Additional funding sources this year approach almost $0.5 billion and include expanding leverage-neutral debt capacity as EBITDA comes online in the $150 million to $175 million range. Free cash flow of $50 million to $75 million as we approach pre-COIVD levels and a sizable asset sale pipeline under consideration. 
 Our leverage metrics continue to be solid as first quarter annualized net debt-to-EBITDA stands just inside 6x. That metric is targeted to improve over the 2024 to 5.7x by year-end and to 5.5x in 2025. Fixed charge coverage was 3.5x at quarter end, and that metric should also improve as incremental EBITDA comes online over the balance of 2024. 
 Now with respect to guidance, with a first -- solid first quarter behind us, leasing demand continuing at a stronger pace than expected, we are tightening and raising our 2024 FFO guidance from $6.76 per share at the midpoint to $6.77, with a range refined upwards to $6.67 to $6.87. This represents 3.4% bottom line FFO growth at the midpoint and almost 5% at the upper end of the range. 
 Keep in mind, this is being done with the realization that interest rates will likely remain higher for longer and provide roughly $0.02 to $0.03 of greater headwinds in 2024 than we originally forecast 90 days ago. This upward revision in guidance is driven by stronger underlying portfolio performance than expected as leasing and occupancy metrics outperform expectations as well as a more optimistic outlook for such difficult to forecast items such as parking, specialty leasing and percentage rent.
  Add to that, some of our first quarter headwinds are expected to be timing issues that should reverse themselves in the coming quarters. As a result, we are also revising our comparable growth outlook upward. Comparable growth is now forecast at 2.25% to 3.5%, up to 2% to 3.5% and our comparable growth, excluding prior period rents and term fees is now forecast at 2.75% to 4%, up from 2.5% to 4%. While we made significant progress at One Santana West, the 915 Meeting Street, in the first quarter, none of those leases are expected to impact our forecast in 2024. 
 We will see the impact in 2025. More to come on that outlook as the year progresses and additional leases get signed. All other guidance assumptions as outlined on Page 27, our 8-K remain unchanged, although please note, we do not include prospective acquisitions and dispositions activity in our guidance. We will update our forecast for that activity as it gets completed.
 Now before we go to Q&A, I'd like you to please listen up for, this is important, with the first quarter in the books at $1.64 per share, our quarterly FFO outlook for the second quarter is $1.63 to $1.69. Again, $1.63 to $1.69 for the second quarter. Consistent with the cadence presented on our call in February, the third and fourth quarter should increase sequentially from there reflecting the continued momentum we are seeing across our business.
 With that, operator, you can open up the line for questions. 
Operator: [Operator Instructions] Our first question comes from Juan Sanabria of BMO Capital Markets. 
Juan Sanabria: Good afternoon. Thank you for the time. Just wanted to ask a little bit more about the acquisitions and the funding. I think, Dan, you said that there was a fair amount of product that you're looking to maybe monetize. So hoping you could give a little more color on the dispositions and what kind of values you could get there, cap rates and the spend the spread in terms of what you're thinking on some of these assets that you're looking at in some of these [indiscernible] south markets? 
Daniel Guglielmone: Yes. Look, we have -- as I've mentioned kind of throughout the beginning of the year, we've got upwards of $300 million to $400 million of assets that we currently have under consideration for sale, kind of the initial cap rates or yields on those assets are kind of in the low 6s. And if we include maybe a couple more assets there, it probably dips below 6% on an initial yield basis. So attractive, and more importantly, in our view, the long-term IRRs are very attractive relative to where we feel we can deploy capital in the acquisition market. 
 So a very attractive source of capital. We'll see whether or not all of that pool under consideration will get executed. But we've broadened the pool, and we'll use that effectively as a source of capital. 
Operator: Our next question comes from Dori Kesten of Wells Fargo. 
Dori Kesten: You had a strong quarter in small shop leasing. Can you give us a sense if this was more driven by national or local tenant demand and then what the blended rent escalators were on that. 
Daniel Guglielmone: You want to take that? 
Wendy Seher: I mean, we did have a very strong quarter on small shop leasing, and we were able to move the needle, I think, 70 basis points. So very pleased with that with what the team has been able to pull together. It's really broad-based when you look at kind of the deals that we're making for the quarter in the small shops in terms of national, regional and local, the categories that we're seeing, as you may guess, our restaurants in nature, we have full-service restaurants less of the fast food because it's typically not the demographic that we're attracting in some of our centers. 
 But certainly, [indiscernible] and the specialty restaurants have been very active. Apparel has been active, both in value apparel and in full service and full price apparel and our -- where we also have a tremendous amount of activity is when you talk about health and wellness and you talk about beauty and anything in that wide category is very active today. So a lot of good categories that are really helping us boost the overall sales and production of our small shops. 
Donald Wood: Yes, Dori, the only thing I would add to that and really just to make the point that Wendy made, it's broad-based. As you know, we own all different kinds of open-air shopping centers and really across the board and certainly including the mixed-use stuff, we've had a very strong broad-based demand on shop space. 
Daniel Guglielmone: And just to add further, the rent bumps on the small shop right in the 3% range, on average. And more importantly, we've done exceptionally well on anchors, where it's across the board. And I think that's a differentiator. That's not appreciated. And so -- and add into that, which Don alluded to, we get 3% or better on the office, which brought our blended up into the mid-2s across the almost 800,000 square feet of leasing that we did in the quarter. Really, really pleased with that. 
Operator: The next question comes from Samir Khanal of Evercore ISI. 
Samir Khanal: Dan, can you talk more about your guidance same-store, you're certainly tracking at the higher end, right, close to the top end. And everything you've kind of talked about and Don has talked about, it feels like you're probably tracking even above budget in many segments of the business, there is a lot of tailwinds. So help us understand what's kind of dragging that growth lower as we kind of think about the midpoint of your same-store or even the lower end. 
Daniel Guglielmone: Yes. Look, I think we -- our credit reserve, we kept it kind of where it is this quarter. And so we're hopeful that that's something that we can do better on and so forth. Look, it's early in the year, and it's one quarter behind us. Typically, we don't move guidance up even when we beat in a quarter. And so look, we'll look to be -- see how the rest of the year unfolds. And hopefully, we can be up towards that upper end and we'll see how second and third quarter does. 
Operator: Our next question comes from Michael Goldsmith of UBS. 
Michael Goldsmith: We've heard from the industrial REITs that retailers are deferring large capital investments in large warehouses. So have you seen any of that pressure of the capital investment required for retail stores in your shopping centers. Have you seen any of that pressure leak into your space recently? 
Donald Wood: Yes, Michael, this is Don. From my perspective, there is capital pressure from retailers to build out stores, but that's something, frankly, I think we've been talking about for 10 years. I don't see a difference over the past couple of years with respect to that. In fact, frankly, I think we've been pretty successful in limiting capital necessary.
 So as a result of the industrial space that you're talking about or frankly, other characteristics, the demand-supply characteristics in retail right now are such that, that we've been able to keep capital under control. 
Operator: Our next question comes from Greg McGinniss of Scotiabank. 
Unknown Analyst: This is [indiscernible] on for Greg McGinniss. Cisco [indiscernible] still have replaced Splunk as one of your top office tenants. I know Splunk had a couple of years of term left. Can you talk about what happened there? 
Donald Wood: Yes, you know that Cisco bought Splunk. They -- and I say just closed within a month or 2 ago. And what they're -- they've assumed the lease so immediately, our credit, which I thought was pretty good with Splunk is a whole lot better with Cisco for the remainder term of that lease. They have not given us any indication at all in terms of what's their long-term plans are, other than in their visits of Santana Row, it wouldn't surprise you to know that they love the place. And frankly, have made that comment while they were there touring at their new space. So what happens after 2027, I think, effect is when we're in, we'll remain to be seen. But I view that, that acquisition is a real positive for us. 
Operator: Our next question comes from Alexander Goldfarb of Piper Sandler. 
Alexander Goldfarb: Thank you. Good afternoon. Don, a question for you as you look at acquisitions. I know you guys are pretty rigorous in the way you approach acquisitions. But curious, because of what's going on now in the retail environment, dwindling availability, all the good stuff that we talk about. 
 As you look at assets at your team underwrites assets on a, let's say, next 3-year period, are they coming out at higher returns than what you would have seen sort of pre-pandemic or because of natural issues like existing lease roll and time for entitlements and all that stuff that when you're underwriting today, you're not really seeing the benefit of the tighter environment as you underwrite it stuff that comes more once you take hold a meet that occurs over time versus, hey, because of what's going on right now in the next 3 years, we're able to outperform 50 bps let's say, versus what would have been pre-pandemic. 
Jeffrey Berkes: Alex, it's Jeff. The acquisitions market is interesting right now. There's probably a lot of people that would like to sell or have to sell. But wish the Fed would provide some clarity on where rates are going and [indiscernible] office sidelines. That said, we really leaned into the acquisitions market over the last 6 months or so. And as Don indicated on his opening remarks, we've had some great success over the last few months.
 And we're seeing, quite frankly, a fairly good range of deals where we think we can apply all the things that we're good at, most of which Tom mentioned. But just to reiterate, our leasing and merchandising skills or redevelopment skills. The fact that we don't look at real estate, shopping centers, super specifically, we're agnostic as to format and more concerned about the strength of location and all of that.
 And right now, with our cost of capital advantage, there's just not as much competition out there to buy and with our cost of capital advantage. We're seeing some really good opportunities. And yes, they do produce higher returns because not everybody has that advantage and there are buyers out there today. So we're pretty happy with what we're seeing, and we're pretty happy with what we're finding as we're underwriting in terms of our ability to get into a property and work the rent roll and really move the NOI going forward. So all good so far. 
Donald Wood: Alex, you asked a very interesting question in there about how we underwrite and what the actual results will be once that underwriting effectively happens, and it's been something that I can tell you, I personally look at very hard because over the past several years, we have very much exceeded the leasing underwriting that we've done in the acquisitions that we've made.
 And I would expect, frankly, that to happen, that's to continue to happen. There's an inherent conservatism, if you will, in looking at a new property, even within your existing markets, et cetera, that is different once this company gets out there and does what it does. And I do think the combination of our context, frankly, our reputation and our understanding of what it is that we can do with an asset often results in actual results that are above the underwriting.
 I would expect that to continue to happen. And I'm not sure it's anything about -- specifically about the marketplace today as it is more about the specific shopping center that we would be acquiring and our optimism with respect to what we do with it. 
Operator: Thank you. Our next question comes from Craig Mailman of Citi. 
Craig Mailman: Not to beat a dead horse here with acquisitions. But I guess another question I have is just as you guys are looking at what's out there today, is it all just operating assets that you guys could over the next 3 to 5 years, kind of remerchandise or densify and that's the play? Or are there opportunities out there like you guys have done in Assembly or Santana that are that decade to 2-decade play for the company long term to harvest value?
 Are any of those available? Or is this just going to be kind of some near-term stuff that you see some opportunities, but maybe the upside isn't as kind of long tail then and big as some of the other kind of bigger mixed-use projects you guys have done in your history. 
Donald Wood: Yes, Craig, that's a great question. And the answer is in the middle. No, you should not be thinking about our acquisitions turning into the next Assembly Row or Santana Row or Pike & Rose.
 Frankly, having those assets are in each of our major markets that we do business in is really important to this company. And each of those assets has a whole bunch more to go and do.
 Having said that, what we've learned in terms of being able to -- I think we're -- what I call is residential experts, but we're pretty darn good on the residential side and even specifically on specified narrow band of office. I think we're pretty darn good.
 So when we sit and look at the reason we want a bigger piece of property is yes, to do all those things you said which you're implying are easy and boring, my words, not yours, in terms of improving the merchandising, growing those rents, which is fundamentally critical. I also want a plus to those assets. And the plus to those assets could be incremental residential entitlements. It could be intensified retail plays on other parcels within it that -- the thing I love about this company is all arrows in the quiver.
 We're not a one-trick pony. So the ability for that lands and that shopping center to be enhanced not only with merchant remerchandising and higher rents, which is critical to it, but with other ways is something we always look at, even if we can't underwrite it on day 1. 
Operator: Our next question comes from Ki Bin Kim of Truist Securities. 
Ki Bin Kim: So Don, as perhaps new development as far as not to start to take a little bit of a less prominent role in the near term versus acquisitions. I'm just curious, some of these projects, maybe you made some choices on leasing, shorter-term deals or maybe give up a couple of dollars in rent for control because eventually you want to do something bigger with it. I was just curious if -- how often is that the case. And if some projects take longer to start, are there some near-term opportunities that maybe you held up on that might -- that we can expect in the near term? 
Donald Wood: Ki Bin, let me make sure I've got what you're really asking. I can tell you that, first of all, and I wanted to make this point on the development side of our business, there will be a development cycle again. And so the notion of us not -- while yes, we're turning down the dial on construction starts. Effectively, we are as active and even more active in terms of entitling and in terms of design of future development projects on our existing properties.
 Now if you're asking existing properties, that means we give up rent, and we do things so that we can entitlement so that we can construct in the future, the answer is very rarely, very rarely do we do that. Now occasionally, we will when we see at an opportunity at an existing shopping center negotiate within a lease, the ability to effectively get out of that lease in exchange for paying back the unamortized CI or something, something like that or the money that we that they would -- I would say, yes. But that happens very rarely.
 So no, I don't think you should think of us from the development side is giving up money today, if you will, for the future. Wendy is looking at me. 
Wendy Seher: So I just wanted to kind of add a little bit of color to that. We've always been sort of very strict about how we want to be able to control the property from a merchandising standpoint, from a redevelopment standpoint. So we've always highlighted that with our negotiations in this marketplace now with really demand exceeding supply, we can lean in on that a little bit further in terms of getting some of those controls that we absolutely need.
 And believe it or not, the discussions that we're having are easier to have with national and regional tenants because they know us. They know how we execute, they know how we invest and how we ultimately improve the property. So all of that is happening kind of concurrently at the same time. 
Donald Wood: And Ki Bin, if I'm not answering your question, we're not answering your question, please give us a follow afterwards. I'd love to be happy to go through it more. 
Operator: Our next question comes from Mike Mueller of JPMorgan. 
Michael Mueller: So Dan, given the traction on office and development leasing that you're having, and how the focus seems to be more in acquisitions as opposed to development starts. Can you give us some sort of high-level color on how you see capitalized interest trending, say, through year-end '25. 
Daniel Guglielmone: Yes. Look, I think we've given guidance on 2024, and I think that we're keeping that kind of constant. I think all the leasing that we're doing is not going to impact anything in 2024, some of the recent leasing. And I think I really -- we need to see how additional leasing gets done and really kind of how the timing of possession, timing of build-out and so forth before we can I think, give any color with regards to 2025. And so more to come on that later in the year. 
Donald Wood: And the only thing I would say to you, Mike, on that is the [indiscernible] 3 out of 4 from the Yankees. Congratulations for the first place on May 2. More to come, just like '25. 
Operator: Our next question comes from Haendel St. Juste of Mizuho. 
Ravi Vaidya: This is Ravi Vaidya on the line for Haendel. I just wanted to ask about the TIs. I noticed that for the new leases, there were about $10 higher foot this quarter than last. Is there anything in particular with regarding any of the recent bankruptcy backfills or anything any other activity with leasing that may have driven that? 
Daniel Guglielmone: Yes. Look, it is a little bit of a volatile number with the number of new leases that get signed per quarter. Now generally, it's somewhat in line with kind of the last -- maybe not in the last 4 quarters, but certainly the last 6 or 8. I wouldn't read anything into that, except just the general mix. And I don't think that is a trend actually. Our view is that it's probably even coming down more so than heading the other direction. This quarter, notwithstanding. 
Operator: Our next question comes from Floris Van Dijkum of Compass Point. 
Floris Gerbrand van Dijkum: Don, I heard you talk so eloquently about some of the leasing dynamics and about your portfolio and how it's positioned in the market? And why you think you have a competitive advantage? Can you maybe -- obviously, vacancy rates are trending lower, rents are trending higher. Could you maybe talk a little bit about some of the ancillary benefits of the leases that you're signing today. 
 I'm looking forward at your lease expiration for example, and I see that next year, approximately 80% of your shop leases has no option, but there's 20% that does. And if I look at your anchor leases about -- it looks like about 60% of your anchor leases have options. As leases get to the end of your life, are you now agreeing no options on your new transactions? And maybe talk about the bumps that you're getting, not just on your shops space but also on your anchors, obviously, besides the fact that rents are going higher. 
Donald Wood: Gosh, Floris, you've got so much there to unpack. I'm going to give you a few things that eloquently you said that, and then I'm going to ask Wendy to jump in here.
 So the reason I speak eloquently about our ability to lease is it really does come down to in a period of time where everything, Floris, everything, cost 25% to 30% more than it did in 2019. 
 The notion of when a tenant is underwriting for themselves, their sales and their profitability, they've got to be confident that they can push those higher costs through to the customer base. They're obviously more likely and able to be able to do that in places with more affluence and with effectively the customer base that is willing to pay additionally. That -- all of those dynamics, in fact, what happens in the negotiation of a lease and certainly small shop, but anchor too. 
 And so when you think about what that does for us, if we had our way, we would hardly -- we would never give an option because an option is one way. An option is for a tenant to say yes or no, not for the landlord. So if we had our way, we wouldn't give any. That's just not practical. So there has to be a balance here, and we do balance with by looking at the credit of the tenant, the desirability of that tenant in the space, how important they are to the merchandising mix of the entire shopping center. 
 And when we look at all that, that's how we determine what it is on an individual basis, what we're trying to do with terms of the contract that we're getting with them. In nearly all the cases from a small shop perspective, we get very good bumps, 3%, 4%, maybe 2.5%, maybe something a little modified from that, but very good bumps. On the anchor side, as Dan alluded to on his call, are you going to be able to see in this industry broadly defined 3% bumps with anchors generally.
 No. No. It's not market. It hasn't been market, but the difference is the ability to get 15% after 5 years versus 7.5% is huge when you look at the math, and go through it. We've been able to improve, and that's what Dan was referring to, the anchor leases at a rate that has been -- I've been very happy with relative to what's been able to be done before COVID. So, so I hope that answers most of it. I don't know if there's anything more to add to that, Wendy, but feel free if there's something there. 
Wendy Seher: I think I would echo what you just said. The only thing that I will say that I get excited about is when I hear someone say you've got X amount of small shops coming up near term because what we found from a historic standpoint is if we can just get to the real estate, we do better. So, so I think it's a very positive thing that we're getting to it soon. 
Operator: Our next question comes from Lizzy Doykan of Bank of America. 
Elizabeth Yang Doykan: I was just hoping to hear a bit more about the acquisition of the remaining joint venture interest in CocoWalk done in April. And are there more near-term JV buyout opportunities for you guys on the horizon? Or was this more of a one-off opportunity? 
Daniel Guglielmone: Yes. Look, this was a joint venture that started back in 2015, 2016. It was to redevelop CocoWalk, it was hugely, hugely successful in terms of what we accomplished there in terms of trend forming that asset into what it is today and the returns that we achieve we had mechanisms in the joint venture to buy out our partner where they buy us out. And we bought them out, and we think, a very attractive yield for us. 
 I think that there's probably a one-off. I don't see additional opportunities. We don't have a lot of joint ventures like that, but we'll be opportunistic when the opportunity arises. And we just felt like it was important for us to take 100% of the ownership of CocoWalk and to be able to operate it and run it and maximize the cash flows that we would achieve without having a partner in there getting fees. 
Operator: Our next question comes from Tayo Okusanya of Deutsche Bank. 
Omotayo Okusanya: Good afternoon. In terms of the mixed-use development projects, I recall at a certain point there was some interest in having a life sciences component to some of the assets. Is there still a thought around that at this point? 
Donald Wood: So we'd love to add life sciences to Assembly Row or maybe even Pike & Rose. The math doesn't work today. It just doesn't work today. So the -- you certainly know what's in that industry. You certainly know what's happening in terms of supply in Somerville, Massachusetts, for example, and even here in Montgomery County.
 So there is some real and that we're sitting with here but whether it is life sciences eventually or whether it's more retail eventually or whether it's more residential or likely. Going forward that land and our ability to move entitlements and get what we need is very strong. So I wouldn't think about life sciences in the near future that way because I think they'll be higher and better use most likely. 
Operator: Our next question comes from Linda Tsai of Jefferies. 
Linda Yu Tsai: You provided guidance for 2Q in the midpoint of 1.66 implies a smaller sequential increase in FFO than usual. Is there anything driving that? 
Daniel Guglielmone: Yes. And I think the previous question with regards to comparable alluded to, when we think about it, we have a tough comp in the second quarter of 2023. Second quarter of 2023, we had all of our Bed Bath in possession, rent paying, [ SOFR 1 ] plus, obviously, we had the headwinds. We had really a more optimal balance sheet. We refinanced our debt in the second quarter of last year, $275 million at 2.75%. So some of those headwinds are really what's driving, I think, the more moderate growth year-over-year in the second quarter. 
 And we're really seeing the acceleration in FFO per share and probably in comparable as well. And -- and I know I'm talking to Linda, I'm addressing [ Samir ] previous question. So we see a greater acceleration in the third and fourth quarters and a little bit of a flatter second quarter because of that more difficult comp. 
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now hand over back to Leah Brady for closing remarks. 
Leah Andress Brady: Looking forward to seeing many of you in the next few weeks. Thanks for joining us today. 
Operator: Thank you. Ladies and gentlemen, that concludes today's event. Thank you for attending, and you may now disconnect your lines.